Operator: Good afternoon, ladies and gentlemen, and welcome to the Martinrea International Fourth Quarter Results Conference Call. Instructions for submitting questions will be provided to you later in the call. I would now like to turn the call over to Mr. Rob Wildeboer. Please go ahead, sir.
Rob Wildeboer: Good evening everyone. Thank you for joining us today. We always look forward to talking with our shareholders, we hope to inform you well and answer questions. We also note that we have many other stakeholders, including many employees on the call, and our remarks are addressed to them as well as we disseminate our results and commentary through our network. With me are Pat D’Eramo, Martinrea’s CEO and our President and still CFO, Fred Di Tosto. Today, we will be discussing Martinrea’s results for the year quarter ended December 31, 2023. I refer you to our usual disclaimer in our press release and filed documents. I will speak then, Pat and Fred and then Pat again briefly, and then we’ll do some Q&A. 2023 was a record year for Martinrea in many ways. We are very pleased with the progress made during the year. Before we get to the financial numbers, which reflect solid and improving progress year-over-year, let’s start with two very important numbers to us, our safety record and our employee survey results. Both are mission critical for your leadership team at Martinrea and for our people also. We believe that these numbers demonstrates the underlying health and resilience of our company and are a strong base of support for our financial performance today and going forward. First, safety results. As you can appreciate, we both want and need to keep our people safe. We’ve been doing that increasingly well over the past decade. Our industry leading safety metrics continue to improve again in 2023. We take safety seriously. Our total recordable injury frequency or TRIF was 1.10, an improvement of 9% over last year. More impressively, we have shown an 89% improvement over the last decade when we made it a priority in all of our operations. A TRIF of 1.10 is less than half of the industry standard. As you know, our company has not only grown organically over the past 20 years, we have also acquired a sizable number of troubled plants where safety may not have been the first priority. We have a safety first culture as a primary feature of our operations. Safety discussions occur daily in our plants. Our Board of Director meetings have a safety presentation and report. Our people come first, and we’ve consistently demonstrated that in normal times and also difficult times. A safe plant generally means a better work environment for our people, as well we see positive impacts on employee satisfaction and profitability. Second, our employee survey results from 2023 are very strong, even improved over last year overall, when we had record positive results. We talk about culture a lot here at Martinrea, but if your employees don’t believe in it, talk is cheap. Every year, our people complete a detailed employee survey administered by a third-party expert who performed similar surveys for many companies, including some of our competitors and customers. We are told we have not just industry leading stats, but we are one of the best performing companies anywhere. Our employee surveys are voluntary, but we had over 15,000 surveys submitted. That’s a really strong sample. We have 56 locations now in 10 countries on five continents in different product groups. That’s also a good sample. We scored very well in the key categories, the way we work, which includes health and safety, work environment, teamwork and collaboration, supporting our people, which includes communication, fair treatment, diversity and inclusion value and recognition, which includes compensation and incentives, career advancements, appreciation and shaping the future, which includes personal goals, performance feedback, growth and development. While the scores are not perfect and we can always improve and we’ll strive to do so, here are some answers to some critical questions. I fully understand my job role and responsibilities, 95% agree. Our location works to improve health and safety, 89% agree. I feel a sense of personal accomplishment at the end of the workday, 82% agree. I respect my plant General Manager, 95% agree. Martinrea prioritizes and encourages diversity, 90% agree. My direct supervisor treats me with dignity and respect, 89% agree. Outstanding results overall. In order to get this feedback from your people, you have to walk the talk. You have to care for your people. We believe a happy, motivated, empowered, purpose oriented workforce is the foundation of company success in the short, medium and long-term. As some commentators have written, happiness at work leads to success, not the other way around, we agree, a strong thank you to our people. So now that we have those two sets of numbers as a baseline, let’s talk briefly about our culture. We talk about our culture a lot at Martinrea, as all our stakeholders have come to know. Our vision is making lives better by being the best supplier we can be in the products we make and the services we provide. Our mission is basically to take care of our people, our customers, our communities and our stakeholders, lenders and shareholders. Our 10 guiding principles represent the way we approach our business. Our culture depicted on this slide is a standard picture for us in all our internal and external presentations. Our sustainability and success we believe comes down to culture. As leaders, we are the chief culture officers of the Company. Living our vision is at the core of the future, our culture, especially as we have cultivated it more and more over the past few years is a sustainable competitive advantage. To us, the Golden Room is treating people the way you want to be treated. We do this regardless of formulaic DEI programs or ESG mandates that may be popular one day and less popular the next. The Golden Rule covers dignity and respect, it covers teamwork, it covers integrity and truth, it covers diversity, equity and inclusion, it covers ESG, it covers good leadership, It helps us to be a great company. Your people have to trust you to lead them this way, to trust that you care for them. Leadership is stewardship, progress travels at the speed of trust. In brief, we believe we work in a pretty special company, and we think our people believe that too. We work every day with purpose serving our constituencies to the best of our abilities and taking care of our own. Now, let’s look at some of the other highlights of 2023. In many ways, our predictions for 2023 made early last year held true for the most part. We did experience a UAW strike in the fall of 2023 that had some short-term negative effects on second half numbers, but the strike is over now. We saw some major geopolitical headwinds, some expected such as the continuing Ukraine-Russia conflict with its challenges for Europe and more trade issues involving China and some others, but also some unexpected such as the situation in the Middle-East. Despite these challenges, 2023 was a very good year with many improvements from 2022. Here are some of the highlights of 2023. A fuller description is found in our annual information form, our 2023 Sustainability Report and our various year-end releases, including our latest investor presentation. We generated a record level of adjusted EBITDA of $616.7 million in 2023. This operating cash flow also translated into free cash flow for the year of approximately $195.4 million most of it generated in the second half of the year, a new free cash flow record for our company. Fred will go into some detail. We recorded record revenues of $5.34 billion, an increase of 12.2% from 2022. We saw increased revenues from some of our key programs, but we have also launched a lot of new business over the last three years that is driving some of the growth. We’ve experienced huge revenue growth over that period. Our revenue increase is well over $1 billion annually. The increase alone would make the top 100 list of top suppliers in the North American auto parts industry according to Automotive News. Our number of employees grew to approximately 19,000 and went up approximately 3.3% from 2022 relative to a year-over-year revenue increase of 12.2%. We saw continued growth in operating margins in 2023. Year-over-year, adjusted operating income margin grew from 4.8% in 2022 to 5.6% in 2023 even with the UAW strike impact. Fred and Pat will talk to margins. Our 2023 fully diluted net earnings per share of $2.22 adjusted or $1.93 unadjusted was higher than the $1.76 adjusted and the $1.65 unadjusted in 2022. Our balance sheet improved year-over-year, ending 2023 with a net debt to adjusted EBITDA ratio excluding IFRS 16 of 1.4 to 1, the best it has been since before the pandemic, and comfortably within our target range of 1.5 to 1 or better. We maintained our dividends to our shareholders in 2023. We did not reduce dividend payments during the pandemic. We returned capital to shareholders, repurchasing approximately 2.3 million common shares under a normal course issuer bid at a cost of approximately 29.1 million all while strengthening our balance sheet. Quality is important to us and our customers. Many of our products are safety parts and we won a number of quality awards in many of our plants again this year. We continue to invest in the business given our backlog of new business. Having said that, cash CapEx returned to a more normal level in 2023, below depreciation and amortization expense for the year. We note that in the past four years, we have spent over $1.25 billion on CapEx, the highest for a four-year period in our history, but the majority of the spend was to launch work we had won. We did not slow down our investment activity during the pandemic and that is a primary reason we are coming out of it with significantly higher revenues, not many automotive parts suppliers have a similar experience. We do not believe in perfect launches, we believe in better ones each time, we had many good ones. Not only have we grown our business, we have significant content on the vehicles our customers are making, electric, hybrid or ICE. Our portfolio is matching what the industry is making. Our light weighting technologies are precisely what our industry needs regardless of propulsion type. We continue to both utilize and invest in leading edge technologies in our regular operations and through Martinrea Innovation Development or MIND. We have investments in graphene and enhanced batteries through our NanoXplorer relationship, aluminum air battery technology through AlumaPower and several other new technologies such as Effenco using ultra-capacitor technology. We program and use our own software and have established a separate internal group called MiNDCAN to develop it and sell it to interested third parties. We believe sustainable companies with a great culture will be around for a long time. Pat will talk more about sustainability in his remarks. We have a solid foundation. As we look to 2024 and beyond, we do so with confidence. Our future is great. We look forward to sharing it with you. And now, here’s Pat.
Pat D’Eramo: Thanks, Rob. Good evening, everyone. As noted in our press release, we generate an adjusted net earnings per share of $0.37 and adjusted EBITDA of $140 million in the fourth quarter. Adjusted operating income margin came in at 4.4% on production sales that were just under $1.2 billion which was basically flat year-over-year, but down quarter-over-quarter. We faced some challenges in the quarter that resulted in lower operating income margin compared to Q3. First, volumes were lower due to UAW strike that impacted multiple plants at General Motors, Ford and Stellantis. We flexed costs where we could to mitigate the impact. This was somewhat challenging given the tight labor market we are operating in. The strike clearly lowered production volumes and by extension our margin profile for the quarter. Second, I said on our previous call that we have been fortunate to not have really experienced any significant disruptions with our own supply base over the last three years. Unfortunately, I spoke too soon. We experienced a rather significant disruption with one of our suppliers during the quarter, which resulted in premium costs that an approximately 70 basis point impact on our Q4 consolidated operating income margin. Over the past three years, we’ve been able to mitigate disruptions coming from our supply base. This one slipped past the goalie. The good news here is we were able to protect our customers albeit at a cost. The issue has now been resolved, so we do not expect to see an impact in Q1. On a really positive note, our free cash flow performance was exceptional, coming in at $120 million in the fourth quarter and $195 million for the full year of 2023, as we have indicated on past calls, tooling sales have been elevated this year. We collected a nice amount of tooling money in the quarter, contributing to our strong free cash flow performance. Some of this was timing related, notwithstanding this is a really good result for us. We’ve been seeing that 2023 was going to be a breakout year for us from a free cash flow perspective and that’s exactly what happened. I am really proud of the people and all the hard work they have done to make this happen. Our adjusted operating income margin for 2023 came in at 5.6% consistent with the guidance we provided on the last call that it would likely fall short of 6%, but would still be close absent of the Tier 2 supply disruptions in the UAW strike we encountered during the quarter. Looking forward, there are some notable positives. The UAW strike is behind us, the supplier disruption we experienced in Q4 is behind us, vehicle demand is still high and inventories are still below pre-pandemic levels. While EV softness and higher interest rates are likely to result in a relatively flat year-over-year production volume profile, we expect 2024 will be another good year with steady production sales, strong positive free cash flow and Fred will talk about this more in his 2024 outlook in his remarks. Turning to our operations, we continue to make steady progress. The industry headwinds we’ve been dealing with since the pandemic from supply shortages, inflationary cost pressures and tight labor market conditions are making steady improvement, and we’re finding new opportunities to drive efficiencies and reduce costs through our Martinrea operating system. Adjusting for the impact of the strike, the production environment remains generally stable in North America. As we indicated on previous calls, volumes have been weaker and below planned levels in Europe and China and that continued to be the case. We restructured some operations in Germany during the quarter and closed a small facility in Canada, which was aimed at matching our cost structure to anticipated OEM programs and volume levels. This resulted in a restructuring and impairment charges of $28 million with the vast majority of that being incurred in Germany. Our efforts to offset inflationary cost pressures as well as volume shortfalls on certain programs through the commercial negotiations with customers continued and we’re happy with the progress. Overall, commercial activity was a bit more weighted in North America in the fourth quarter with lower level of settlements in Europe compared to Q3. As we have talked about many times, commercial settlements can create unevenness quarter-to-quarter and therefore our operating performance is best looked at over long time periods. Commercial negotiations will continue to be part of our business in 2024. In addition to addressing inflationary cost pressures, we will also continue to address new program volume shortfalls, including lower than planned volumes on electric vehicle platforms, which has become a significant issue in our industry and one that we predicted as you may recall. Overall, we’re well positioned on our EV book of business, owing to our disciplined approach to quoting on these programs. In certain cases, we’ve managed to mitigate some of the risks through complex contracts which include features such as upfront capital payments with minimum volume commitments where risk is higher, but not necessarily everywhere. Generally, we’ve attempted to align ourselves with platforms that we believe will have the greatest potential for success over the long-term. There is a slide in our investor presentation showing the EV programs that we have content on. Overall, we continue to feel good about the long-term prospects electric vehicles over time. However, to date, current volumes are coming in well below where they were originally projected to be by now. When you’re looking at IHS and other data providers to see how the volumes are trending, they are running at less than half of planned levels in many cases. Again, this is an industry wide issue, so we don’t believe we are unique in this regard, but it’s resulting in some under absorption of overhead costs and other inefficiencies, which is likely to persist until issues that are preventing wider adoption of EVs such as price and charging infrastructure have progressed. In the meantime, we will need to address the gap and we’ll be seeking to offset a portion of these excess costs with our customers. And this will be an area of focus of our commercial activity in 2024. Longer term, we believe we are in great shape as we are relatively propulsion agnostic and lower EV sales implies higher ICE sales until the EV transition gains momentum at some point in the future. Moving on, I’m pleased to announce that we have been awarded new business worth $75 million in annualized sales and mature volumes consisting of $65 million in Lightweight Structures Commercial Group, including various structural components with General Motors, BMW and Nissan along with other customers and $10 million in our Propulsion Systems group with Eaton and Volvo Truck. In addition, we were awarded replacement business or $375 million in sales at mature volumes on GM’s light duty truck platform, the T1XX-2 which benefits both our Lightweight Structures and Propulsion Systems groups. In reference to Rob’s earlier comments, I’d like to take a moment and talk about some of the achievements we report for more detailed description of our sustainability journey and how we are making a difference for our people as well as our communities in which we operate. Here are a few key highlights. Carbon intensity has reduced by 32% since our 2019 baseline. Energy intensity has reduced 23% since our 2019 baseline. Approximately 36% of our electricity usage globally is obtained through utility grids using varying percentages of renewable energy sources. We also installed on-site solar panels and facilities to help power plants with renewable energy. Next, in 2022, we set a target to reduce our carbon emissions by 35% by 2035 without the use of carbon credits. We are working on reaching that goal. Lastly, the Diversity Committee led by me personally formed additional subcommittees to focus on mental health called Minds Matter. Women at Martinrea focused on women in manufacturing and young professionals. In 2023, Martinrea was the Center for Automotive Diversity, Inclusion and Advancement Impact Award winner of Systemic Change and the winner of Leadership Commitment for Advancing Diversity, Equity and Inclusion. We think that’s pretty cool. In closing, the challenges we faced in Q4 were centered on two events that we see as isolated and hence we remain very constructive on the year ahead. We are managing well operationally and I would like to thank the entire Martinrea team for their hard work and dedication. With that, I’ll pass it to Fred.
Fred Di Tosto: Thanks, Pat, and good evening everyone. As Pat mentioned, we faced some challenges in the fourth quarter that impacted our operating income margin. The good news is, the UAW strike and supplier issue that Pat spoke about are behind us. And as such, we expect better results in the first quarter. Notably and despite these Q4 headwinds, we generated record free cash flow in the fourth quarter and for the full year of 2023, which allowed us to materially reduce our net debt and further improve our leverage ratio. Taking a closer look at the results quarter-over-quarter, we generated adjusted operating income of $56.6 million, which was down from $83 million in the third quarter on production sales that were down by about 7% quarter-over-quarter. Note that adjusted operating income excludes $28.2 million in restructuring impairment charges that Pat referenced earlier. We may see some additional restructuring costs in Q1 to round out the activity, but it will be at a substantially lower level, nowhere near what we saw in Q4. The strike impacting select plants at the Detroit 3 OEMs reduced production sales by approximately $50 million with the vast majority impact taking place in the fourth quarter. Adjusting for the impact of the strike, production sales would have been down a more modest 3%, reflecting some typical seasonality in the quarter. Tooling sales were similar quarter-over-quarter. As noted on the last call, tooling sales were elevated in 2023, in part due to upfront capital payments from customers on certain programs and other volume up requests from OEMs, which gets treated as tooling sales as per IFRS standards. We expect a more normal year of tooling sales in 2024. Adjusted operating income margin came in at 4.4%, which is down 160 basis points from the 6% we earned in Q3. Breaking it down, approximately 70 basis points of the quarter-over-quarter delta is due to the supplier issues noted as Pat noted and which is now behind us. The remaining delta is generally explained by normal decremental margins on the lower quarter-over-quarter production sales, largely driven by the UAW strike, also now behind us. Moving on, adjusted net earnings per share came in at $0.37 in the quarter, which is below the $0.68 generated in Q3 due to the same factors affecting adjusted operating income as well as a $1.3 million net foreign exchange loss in the fourth quarter versus a $7.1 million gain in the prior quarter, which falls below operating income. Free cash flow came in at $119.9 million in the third quarter and $195.4 million the full year of 2023, a record level for our company. As Pat noted, we experienced a nice inflow from tooling related working capital during the quarter, which contributed to our free cash flow. Again, some of this is timing related. Notwithstanding, if you were to assume end of year tooling related working capital at roughly 2022 levels, we still would have exceeded the low end of our ‘23 free cash flow outlook of $150 million to $200 million, which is better than we were expected at the time of our last call. I’m extremely product of our hard work or team has done to make this happen. Looking at our performance on a year-over-year basis, fourth quarter adjusted operating income of $56.6 million was down 19.7% over Q4 of 2022 and production sales that were about flat. And our adjusted operating income margin of 4.4% was down 110 basis points from the 5.5% we generated in Q4 of last year. Again, the Tier 2 supplier disruption accounted for 70 basis points of the impact, with the remainder mainly reflecting our geographic sales mix. That is the impact of decremental margins on lost sales on our higher margin North American business, which is due to the strike, along with higher sales on our lower margin European segment. Turning to our balance sheet, strong free cash flow enable us to reduce our net debt excluding IFRS 16 lease liabilities by $107 million quarter-over-quarter to $782 million. We continue to make great progress on deleveraging and this includes spending roughly $8 million buying back approximately 650,000 shares during the quarter through our normal course issuer bid. Our net debt to adjusted EBITDA ratio continued its downward trend and in the quarter 1.4x, down from 1.56x at the end of Q3 of 2023 and 1.71x at the end of Q2 2023. Our leverage ratio now sits comfortably within our long-term target range of 1.5x or better. Subsequent to the fourth quarter, we amended our lending agreements extending the maturity of our both our Canadian and U.S. dollar banking facilities out to 2027 and obtaining an additional $100 million in borrowing capacity. Pricing terms are generally similar to the previous agreements, which is a noticeable achievement given the current interest rate and credit market environment. This is a testament to the strong relationships we have with our lenders. We can’t thank them enough for their ongoing support. Turning to our 2024 outlook, as Pat noted, we expect our results to improve over the fourth quarter as the disruptions that affected us in Q4, namely the UAW strike and supplier disruption are behind us. Having said that, most industry forecasters are currently calling for a relatively flat production volume environment in 2024 in both North America and Europe, our two main operating regions. A slower than expected ramp up in electric vehicle programs higher market interest rates are likely contributing to this view. As such, it stands to reason that our production sales are also likely to be relatively flat in 2024. As noted, our tooling sales are elevated in ‘23, and we expect that to normalize this year. Putting it all together, we expect total sales between $5 billion to $5.3 million in 2024. Looking at our adjusted operating income margin and understand that Q4 was a bit of an anomaly, we have stated on previous calls that given the fact that our operations are performing at a high level, future margin expansion will primarily be a function of volumes. Since we expect minimal volume growth in ‘24, margin expansion is likely to be similar. With that in mind, we expect adjusted operating income margin to increase year-over-year and fall in the range of 5.7% to 6.2% for 2024. Moving on, we expect free cash flow of $100 million to $150 million this year. This reflects our sales and margin expectations as well as projected CapEx of approximately $340 million which is expected to be generally in line with depreciation and amortization expense for the year. The projected free cash flow is obviously lower than we had generated in ‘23 reflecting higher CapEx in part due to timing of certain capital expenditures that were planned for ‘23 falling into 2024 and an assumed reduction in positive tooling related working capital flows given that we expect a more normal level of activity this year. Notwithstanding, this represents a very healthy level of free cash flow for our business. Also expect the free cash flow quarterly pattern in 2024 to be similar to 2023, where we generated the bulk of our free cash flow during the second half of the year. Looking forward, we expect to hold our own both financially and operationally in a production environment, while not growing is expected to remain stable. We continue to perform at a high level. Our balance sheet is in great shape. We are delivering on our free cash flow promises and executing on our capital allocation priorities. For our shareholders and all of our stakeholders, thank you for your continued support. With that, I’ll now turn it back over to Pat.
Pat D’Eramo: Thanks, Fred. On a final note related to capital allocation, our views are provided in an investor note on our website. However, we intend to talk about it on each call. In Q4, we generated approximately $193 million in cash from operations and here’s how we allocated it. First, capital expenditures were about $73 million. As we’ve always said, we invest in the business first. We need a strong core and as we’ve discussed, our investments have to meet certain hurdle rates on new or replacement business. We also paid down debt as Fred noted with a net debt of $107 million lower quarter-over-quarter, so we strengthened our balance sheet. A strong balance sheet has an advantage in this industry where we have seen a lot of supplier distress over the years. Customers don’t want to worry about the creditworthiness of a supply base. This is especially important given the combination of geopolitical events, strikes, interest rate pressures and other factors that have increased stress on the supply base as a whole. We paid our usual dividend to our shareholders approximately $4 million or $16 million over an annualized basis, providing our shareholders with positive return on their investment. Finally, we purchased 650,000 shares for cancellation under our normal course issuer bid. Total cash spent was approximately $8 million. At our enterprise value to EBITDA multiple, which is near a historic low, we believe an investment in our own company is good investment. It also rewards our supportive shareholders with a greater piece of the Company without having to write a check. Note, within the last five years since the beginning of 2018, we have bought back over 9 million shares which is more than 10% of the Company. We all recall, there was a pandemic and a few other negative things that occurred during this timeframe. We paused repurchases when the UAW strike hit, which we felt was prudent, repurchases under our normal course issuer bid continued in Q4 after ratification of the UAW agreements. We intend to buy back more stock in the next month and renew our NCIB for another year. We also continue to look at some investment opportunities that would benefit us. Having said that, we continue to believe that buybacks are a good use of capital given where our stock is trading, and we anticipate with our positive free cash flow profile, which we believe will occur on a regular basis each year, we will have greater flexibility to deploy cash in the best interest of the Company. Finally, once again, a big thank you to our people. This is a challenging business in a challenging world, and we continue to deliver. Thank you for your dedication every day. So now it’s time for questions. We see we have shareholders, analysts, employees and even some competitors on the phone. So, we may have to be a little careful with our answers, but we will answer what we can. And thank you for calling in.
Operator: [Operator Instructions] First question is from David Ocampo from Cormark Securities. Your line is open. Go ahead.
David Ocampo: Just on your margin guidance for 2024. I mean, it’s still quite a ways from your pre-pandemic levels when you guys were marching on 8% plus. I know, there is inflationary factors that kind of impact the number. But just curious where you think margins go over the medium to long term? And what are the factors that are going to get you there? Is it a return of light vehicle production of $17 million in North America and Europe normalizing? Just any color on that would be great.
Fred Di Tosto: Yes, obviously volume would be beneficial. I mean at these levels we’re doing pretty well, but we’re obviously not at the back of those levels pre-pandemic and so forth, so volume is a factor. We’ve made it clear as well, and these inflationary cost pressures are not recovering 100% in most cases, right, so that’s next gen programs. And then operationally, I think Pat noted we’re performing well generally over our plant portfolio, but there’s always opportunities there. So we’re going to continue to push the Martinrea operating system and to drive more efficiencies in the operations. I think the one major headwind that I think the industry is going to face in the short to medium term right now is this EV transition and what’s going to happen with volumes and mix and so forth. Clearly, volumes aren’t meeting expectations on the EV front end at the moment, and I don’t think that’s going to change in the short-term. In longer term, that transition will happen and the volume will come. But the impact on margins and how the industry is going to deal with that over the next couple of years is a bit of a question mark and we’ll kind of weigh on margins I think for a period of time until that gets resolved.
Pat D’Eramo: And I think, the inflationary costs, that’s going to take some time. Some of those adjustments a I do think there’s still a lot of opportunity in our operation. We made tremendous progress, but there’s still more there and we’re going to focus a lot of attention on it in the meantime.
David Ocampo: And Pat, I think you called up trying to seek some commercial renegotiations maybe for the EV side of it in 2024. Curious if you’re including that in any of your margin guidance for 2024 or should we review that as upside?
Pat D’Eramo: No, we’ve factored that in. The last couple of years, commercial activity has been a big priority for us at the forefront of activity and so forth, and we just see that continuing and it’s a necessity. Unfortunately, some of the deals we’ve cut are not baked into piece prices, so the OEMs are forcing us to come back and renegotiate on quarterly, semi-annual basis and so forth to get that in. So those discussions will continue and it’s factored into our numbers.
David Ocampo: And then last one, just the restructuring that you guys did in the quarter. What kind of payback should we expect on that $27 million? It sounds like there’s going to be a little bit more in Q1. And just the timing of that payback, is it $24 million where you guys start to reap the benefits or maybe you get the $27 million back in over two years?
Pat D’Eramo: Yes. The bulk of that in the fourth quarter was in Germany and the workforce there for the most part, that headcount would be reduced by the end of first quarter, so we’re going to go into the remainder of the year with that lower cost base. It’s pretty expensive to let go people in Western Europe and Germany in particular. So, the paybacks there are probably a little higher than we normally see in North America, but 1 to 1.5 years is generally a rule of thumb, And the numbers kind of suggest that in this case as well.
Operator: The next question is from Tamy Chen from BMO Capital Markets. Your line is open. Go ahead.
Tamy Chen: I wanted to go back to your margin guidance for this year and coming out at a different way is, with industry production currently expected to be flattish and the EV headwind. What is baked into your expectations, i. e., what would have to unfold for you to achieve that higher end of the margin guide? Because that would be 60 basis points I think of year-over-year improvement, which could be seen as a bit, high given the industry backdrop we’re in right now?
Pat D’Eramo: Well, I think the way I would maybe answer that is it’s somewhat up from 2023 and 2023, we had the UAW strike, which we don’t expect will summer event will occur. Then we’ll also add in the fourth quarter a supplier event, which is behind us, right? So, you take that out, I think your baseline is somewhat higher. So I’m not sure you’re too far off from the high end of the range, but there’s a bit of a band there and obviously mix in the EV versus ICE volume portfolio over the next little while is low uncertain. So we kind of left some room there and some range there in terms of where we can land. But overall, I don’t see the high end of the range. It’s too much of a stretch assuming the volume is there, right?
Fred Di Tosto: Yes. We’re in February. It’ll be the end of February. And a lot of things can happen in the year, but they aren’t all negative. There’s some good things too. Plus, Pat talked about the improvement in operations. And right-size operations is always opportunity.
Pat D’Eramo: And we’re not sitting still on our material costs. I mean, we’re not going to rely 100% on recovery. We’re doing things on our own to reduce those costs as well. So, it’s a combination of things coming into play that could certainly affect a better number, if you will, but that’ll take time to put in place.
Tamy Chen: That’s your point on the items in Q4. Okay. And when you talk about volume is below plan in Europe and China. Well, I think industry in Europe is flat, China is growing. Is it a mix issue for you? I’m just curious how you think about these two segments going forward and the strategy here? Or is it something to do with your exposure to EVs there that’s causing the volume being below plan?
Pat D’Eramo: Yes, certainly, we moved quicker like many others in Europe on EVs and they’re not hitting the numbers either similar to North America. Some of that is due to that exposure. So definitely mix is playing a role in it. The sample in Germany is one program runs out and some of the programs are waiting on to hit volume or some of the EVs. So it definitely is having an impact.
Fred Di Tosto: And just with respect to China, we have a very modest footprint there. We had four plants, two closed as expected, two metallic plants that we acquired from Metalsa and the acquisition that came with the acquisition. We knew we were going to run out of work. We ran out of work in 2023. So, we’re down to two plants, the fluids plant, which is quite small, and an aluminum plant. So, China overall volumes is not really a big factor in our revenues one way or the other where it goes up or down or stays sideways.
Operator: And next question is from Krista Friesen from CIBC. Your line is open. Go ahead.
Krista Friesen: Maybe just a follow-up on your comment on free cash flow priorities. Can you speak to if you’re seeing anything kind of in the M&A environment and if that’s becoming more attractive for you given where your leverage ratio is now?
Fred Di Tosto: I think the short answer is yes. I think it’s in the context of how we look at things, a few things. Strategic investments, we see some opportunities and some new technologies. NanoXplorer was an example in that. We still believe in graphene, and we’re seeing some of those. And one of the interesting things and also in our MiND initiative is a number of people approach us together with our operational expertise and our strategic partner expertise. So, we’re seeing opportunities to effectively deploy our capital, but also our people and improve our technology partnerships in that sense. Back to your real focus in the context of M&A, there are a number of suppliers under pressure. Over the last three years in the pandemic led them to probably have weaker balance sheets in some ways. A lot of people have more debt. A lot of people are a little more stretched. It’s a tough market out there. We thrive in tough markets because there are opportunities. Now some of those opportunities may come from just quoting work and saying, a supplier with a strong balance sheet has a tremendous opportunity to ensure that we can provide product on time and all that type of stuff. And customers do look at that. They do look at the stability of the supply base, and we’re a very strong supplier in all the markets that we are. But at the same time, we do get a lot of teasers and inquiries and are you looking and so forth. We have powder on the balance sheet, and that’s not a bad thing to happen. We also have a very good banking relationship. Today’s environment in order to extend a syndicate, which is quite large, $1.3 billion of capacity with good terms with strong banks, gives you flexibility there, too. So we like that.
Krista Friesen: Is there a particular geographic area that you would look to focus in on? Or are you kind of open to all opportunities?
Fred Di Tosto: Probably not China, probably not Antarctica, Africa, I don’t know. We have plants in Africa. I think North America is a good place for us. We really like the USMCA. We like our positioning. Europe has its challenges. We think it’s got its broad geopolitical challenges and the Russia Ukraine war and EV turnout and all that type of stuff are challenges, I think that we think Europe less likely unless it’s compelling.
Pat D’Eramo: And it’s got to be the right type of situation, including what can it add to our story relative to light weighting and so forth, doesn’t make sense from a product point of view and from the footprint point of view. So something we certainly would study a lot more before we jump in. Yes, absolutely.
Krista Friesen: Sure. And then maybe just I’m wondering if you’re kind of seeing anything on any of your programs. Obviously, inventory is still historically low, but there appears to be still a bit of a mix issue with inventory kind of closer to more normalized levels on pickups, for example, but not at normal levels on other platforms. Are you hearing anything from the OEMs in terms of kind of slowing down on certain programs and ramping up on others?
Pat D’Eramo: We haven’t. We actually, to some extent, would have expected some things to slow a little bit, but they haven’t. Others had, as you know, especially when it comes to again EVs. But we’re also seeing some of the customers are starting to get ready to throw some money on the hood, which could actually spur production somewhat. But the volume has been pretty steady. Our ICE vehicles in particular and trucks have done well. Funny enough in Europe, some of the products are actually doing very well are engine blocks, which is a surprise at this stage of the game. We’re not seeing again other than EVs, not seeing anything that we see as a signal of a slowdown at all. And some of the vehicles that frankly hadn’t been selling or I should say been produced a couple of years ago are actually in pretty high production now. And a lot of that was due to chip shortages and moving the chip shortages for the chips to higher profitable vehicles. Now that they’re more plentiful, you’re seeing some of the smaller vehicles and so forth start to pick up the pace again.
Fred Di Tosto: From a broad perspective, we think North America is in pretty healthy shape. If you look at the past 12 calls or whatever, we said we thought the U.S. was in strong economic shape, wasn’t going to have a recession. We think we’re right on that. We would say that a potential tailwind for later in the year is interest rates. We do think they’re at a level that they’re probably tempering sales to some extent, not a lot. But I think a number of people are perhaps waiting with their purchases until the weather is better and pricing may be better too because of interest rates. So I think really like everyone else thinking that rates will come down at some point, not sure when they’ll start and how fast they’ll come down. In my experience, once one OEM starts putting, I would say significant amounts of money on the hood, not because it’s end of year, but because they want to sell more. There tends to be others that follow. So I think it can be very interesting.
Operator: The next question is from Michael Glen from Raymond James. Your line is open. Go ahead.
Michael Glen: Just on the supplier disruption that you guys had. So I know you probably can’t give all the details, but I’m just curious like why did the expense of this disruption fall on to your P&L and not the OEM?
Fred Di Tosto: Well, it’s our supplier first off. And there’s directed suppliers and then suppliers that are your choice. And this is one of our long time suppliers. They actually had a sub supplier issue with material. And so there was a stretch of time where the material wasn’t available, which caused downtime internal to our supplier. Then we had logistics issues due to weather and so forth that compounded it. We’re not talking about weeks and weeks of not having material, but it’s a high-level of material that has pretty high volume and missing it by a few days to half a week can be pretty significant in our business.
Pat D’Eramo: The end result is we fell behind, expedites, internal premium costs and so forth. We did protect the customer, although it did come at a cost, but as we noted in our opening remarks, the issue is behind us, kind of move on from it. It’s not always the customer’s fault.
Fred Di Tosto: Like I said in my speech, these disruptions have been happening in the supply base for three years continuously and we’ve been particularly fortunate and our SCO team has done an excellent job of assuring we didn’t have this type of disruptions. This really is the first one of any significance that we’ve dealt with, which frankly given the supply base and the issues that have been out there’s pretty damn good in my book. It’s just unfortunate and it’s behind us.
Michael Glen: Behind being it ended in Q, this was all contained in Q4 to be clear?
Pat D’Eramo: Yes. It was all contained.
Fred Di Tosto: All contained
Michael Glen: And with the outlook, and Rob, you’ve talked about there being a number of suppliers being under pressure. Is there potential like this type of situation of a supplier being unable to give you the material that you need? Is this something that is of increasing risk as we think about 2024?
Rob Wildeboer: It’s a two sided coin. And if you look at, say, Auto News or whatever, there is a view that a number of suppliers are going to use this year to strengthen their balance sheets, right? They’re going to, with consistent volumes and everything else, there are going to be some suppliers that have some challenges. Our focus typically is on our competitors, and our discussions with our customers are here, we can do this, we can effectively put up new lines for you, etcetera. And we’re not going to come back for a price increase because we’ve got real financial challenges. This is something just we always try to show you how we think, but since we started 22 years ago, 23, 22.5 years ago now, this has been consistently one of our modus operandi, which is basically understand where your competitors are and so forth. And if you can provide a solution and win the work because of your situation, location, abilities, strength of balance sheet, great. But sometimes the customers look to you to actually help in a context when sometimes the best help is taking over a supplier or some business or even in certain cases that we’re finding helping other potential suppliers. So we tend to look more toward other Tier 1 in our interest, not so much the Tier 2.
Pat D’Eramo: So our supply base in particular, I’m not going to say there’s any significant interest out there. There might be at some point. But the financial concerns of our suppliers especially our big ones like the one we were talking about earlier, their volumes are good and I’m not concerned. But as Rob said, in the Tier 1 side, sometimes the customer and we have been approached over the last three years by customers asking us to a look at different assets that are in trouble that we could take over. But it’s got to be it’s got to make sense for us at the end of the day and last few years that hasn’t made sense, so we didn’t approach it.
Rob Wildeboer: I would say this, and we talk about culture a lot. You guys know right about it, which is, but we have other people on the phone. It is a difference. We’ve taken over, poorly performing suppliers and we bring a different way of doing things operationally and on the floor. And that is something that is provides opportunity for us. Customers know that. Customers know that they can rely on us. And in some of these situations, we get asked to come in, often by the owner of the, or some of the owners of the competitors and so forth. And I’m not just talking about public competitors, there’s private competitors as well, some of which you don’t and some of which you don’t. But that’s the nature of our business. I would say we are extremely well poised coming out of 2023 with the strength of our balance sheet, free cash flow. All the things we’re talking about take advantage of those types of those opportunities to help our customers. And if we can help our customers, a lot of good things happen and that also translates on the commercial discussions that we may have, the winning of new work, the trade offs and everything else. These are all arrows in our quiver that we use really well.
Michael Glen: And if I think of M&A, it’s I can’t for me, M&A and auto parts is like the history of M&A and auto parts is there’s a lot of situations that have struggled. Like if you do something now, are the level of guarantees that you get from your customer going to be different than they were in the past?
Fred Di Tosto: For us to do it they would need to be probably some extent. And Rob touched on it very well. Commercial settlements work, future business growth, all those things would be key. Certainly with the way the supply base is today versus 20 years ago, the deal you would want to make would be different certainly than it was 20 years ago. There’s less suppliers out there and there’s less places for the OEMs to go to get people to take over frankly. So you might be a little more picky.
Pat D’Eramo: And just on the M&A, just so people don’t say, hey, we’re really in the hunt or whatever. We’ve been pretty good at M&A. We’ve been pretty good at getting distressed situations and turning them around. We recognize it takes time. We think we’re better than most at that. But of the 10 or 11 or 12 acquisitions we’ve done in 22 years, we’ve turned down 1,000. So we’re pretty particular, and it’s got to fit. So in the meantime, as we said, we’ve got some cash. We think a good investment is ourselves. Want to buy back some more stock. I think, buying back 10%, more than 10% of our company in the last five years with three years kind of a write off, because of the pandemic has been pretty good as well. So we’re just here to run a business in the right way deploy our capital in the best way. And what we talk about today could change a week from now, and that’s why we just basically illustrate for you how we approach these things.
Operator: [Operator Instructions] The next question is from Brian Morrison from TD Securities. Your line is open. Go ahead.
Brian Morrison: Fred, can you just talk to me about how you view the cadence of your margins that you go throughout the year?
Fred Di Tosto: It’s a good question. I mean, we model it out obviously based on IHS volumes so far, that’s how we budget. And what that suggestion is, is you’re going to get back to maybe a more typical seasonality in the industry, right? So, better in the front half maybe weaker in the back half. But I’m somewhat skeptical on whether that happens or not because I think there’s still some volatility, mix and so forth and interest rates are decreasing later in the year and incentives with the OEMs and so forth. So, I’m not committed it will necessarily play out that way, but if you review the forecasters out there, that’s kind of how they’re modeling it, but it may not happen that way. But front half maybe stronger than the back half, but the seasonality may not play out as expected.
Brian Morrison: What is the North American production volume, I’m assuming, in your forecast?
Fred Di Tosto: So we rely on IHS, so they’re forecasting 15.7%, I think at this point so relatively flat year-over-year.
Brian Morrison: I’m sorry I missed what you said about the EV costs and how they’ll weigh on the pressure on your margin. Can you just give us some sort of ballpark how you like what that impact could be? Because I look at your margin guide and you start at five, six and you get sort of 20, 25 basis points from tooling. You get 15 to 20 from your Tier 2 improvement. You get 15 to 20 from your strikes. So you’re at the high end of your margin guide. What are the offsets that bring you back down?
Pat D’Eramo: Well, what you have and this is again an industry thing, so suppliers have made investments in EV platforms. So those assets are coming online, the depreciation is coming online, that overhead is coming online, and now that we’re in production, those volumes are nowhere near what we modeled the expectation at, right. So you got that extra cost without the extra sales until you start hitting those planned levels, right. So we’re not unique in that. I think you’re going to see that in a number of different suppliers and peers. So you’re going to see a higher depreciation rate from us going forward because these assets are coming online and unfortunately, volumes aren’t hitting it, right? And not just depreciation, they also got overhead tied to these platforms.
Fred Di Tosto: So here’s a simple way, a simple guideline I got to understand. So let’s say you got a factory that’s 50% EV, 50% ICE, and the ICE volume comes along just fine, so that half of the factory is running at optimal levels. On the EV, let’s say they sell 40% of what the planned volume is. And so that half of the plant is running at below capacity with the overheads and stuff that Fred said. And let’s say even you have higher ICE production. You can’t take for the products we make, and to a certain extent, the EV line production and put it over to ICE, right? So, you have a plant that’s not running optimally. And we have 56 plants and a lot of them have some EV production in their plants. And so, the reality is that a lot of plants aren’t running as optimally as we would like them to be and that is the industry issue for everybody.
Pat D’Eramo: Part of the complexity is that if the EV launched at a lower level that stayed steady week after week, day after day, it would be helpful. We would still have the issue that Fred described, but it would be better. The problem is what we’re seeing in the moment is the customer plan will go down for a month or two and then come back up. And so you have to have some semblance of a workforce there to produce, but you can’t have them all there. So, those costs are very hard to flex. We’re getting better at it as these things smooth out, but with the lack of volume, it’s compounded the problem some.
Brian Morrison: So I understand and appreciate the concept, but I’m wondering how much margin pressure you baked into your forecast from this?
Fred Di Tosto: How can I tell you that? Nice try.
Pat D’Eramo: It’s very difficult to say given the fluctuation.
Brian Morrison: Well, I asked because there’s going to be a wide range of estimates that come out more based on that. So just lastly, on your free cash flow, we talked about how strong it is and how cheap you are. Instead of the M&A discussion, why are we not looking at an aggressive NCIB or even potentially an SIB?
Pat D’Eramo: Well, someone mentions M&A and everyone, it’s like a fountain. M&A as we’ve said, we’re very selective on M&A. It’s nice to have powder and so forth. I think that we said we’ll be buying on our NCIB and we’ll renew our NCIB. And buying 10% over five years is actually pretty good when in three of those years you’re not buying. So I think that’s important. I think a strong balance sheet is important, and our target was 1.5 to 1 or better, and we’re there. But that doesn’t mean as you’re at 1.4, you jump up to 1.5 again.
Fred Di Tosto: And I think it’s important, there’s not something that we’re ready to select on the menu at the moment in M&A. It’s just that we’re at the menu there and it looks attractive, we’re in a position now where we could look, but we’re not in that spot at the moment.
Brian Morrison: The only reason I asked is you mentioned that your free cash flow could be $100 million to $150 million this year and you’re trading at 3x EBITDA.
Fred Di Tosto: Yes, you’re right.
Pat D’Eramo: You’re right.
Fred Di Tosto: Some guys are at higher multiples because they managed to lower their EBITDA.
Operator: Thank you. There are no further questions registered at this time. I would like now to turn the meeting back over to Mr. Wildeboer.
Rob Wildeboer: Thanks everyone. I really appreciate you taking some time this evening. If any of you have further questions or would like to discuss any issues concerning our company, please feel free to contact any of us or Neil Forster on the press release, and have a great evening.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.